Operator: Good day, ladies and gentlemen, and welcome to the Ambarella Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. As a reminder, this call is being recorded. 
 I would now like to turn to your host for today's conference, Mr. Louis Gerhardy, Director of Corporate Development, Investor Relations. Mr. Gerhardy, you may begin. 
Louis Gerhardy: Thank you, Sara. Good afternoon, and thank you for joining our fourth quarter and fiscal year 2019 financial results conference call. Our speakers will be Dr. Fermi Wang, President and CEO; and Casey Eichler, CFO. The primary purpose of today's call is to provide you with information regarding our fourth quarter and fiscal 2019 results. The discussion today and the responses to your questions will contain forward-looking statements regarding our projected financial results, financial prospects, market growth and demand for our solutions, among other things. These statements are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize or should our assumptions prove to be incorrect, our actual results could differ materially from these forward-looking statements. We are under no obligation to update these statements. These risks, uncertainties and assumptions as well as other information on potential risk factors that could affect our financial results are more fully described in the documents that we filed with the SEC, including the annual report on Form 10-K that we filed on March 30, 2018, for the 2018 fiscal year, and Forms 10-Q filed on June 8, 2018, September 7, 2018, and December 7, 2018, for the fiscal year ending January 31, 2019. 
 Access to our fourth quarter and fiscal 2019 results, press release, historical results, SEC filings and a replay of today's call can be found on the Investor Relations portion of our website. 
 I will now turn the call over to Dr. Fermi Wang. 
Fermi Wang: Thanks, Louis, and good afternoon, everyone. Fiscal year '19 was a pivotal year in Ambarella's transformation from a pure video processing company to a computer vision company. In addition to human viewing, our CV products extracted and processed valued data for rich video streams, enabling our customer assistant to make intelligent decisions. During the year, we tabled out and assembled 3 CV devices, CV2, CV22 and a CV25, each integrating our new CVflow Deep Neural Network AI processor with our video processing into a single 10-nanometer SoC. Within 7 months of sampling, we commenced CV22 mass production, and we are experiencing strong CV design activity globally. For the year, revenue from security camera and the automotive markets both increased in the mid-single-digit percentage range. Security camera revenue represented about 60% of total revenue for fiscal 2019, with the auto approximately 20%. 
 Consumer electronics revenue declined faster than expected throughout the year and accounted for more than 100% of year-over-year revenue decline. For the full year ending January 31, 2019, revenue declined 23% to $227.8 million. Our Q4 fiscal year 2019 revenue of $51.1 million represented a 28% decline from the $70.6 million of revenue in the same period of fiscal year 2018. Revenue from the security camera market increased about 10% from a year ago quarter, led by the professional security market.
  For the quarter, consumer electronics revenue represented about 100% of the year-over-year revenue decline. 
 During the recent Consumer Electronics Show, CES, in January. Ambarella successfully demonstrated its latest solution for automotive and the home monitoring applications focusing on CVflow computer vision technology. This included demonstration of solutions addressing each of the 6 different automotive camera applications we are now targeting. These are OEMs and aftermarket drive recorders, electronic mirrors, interior drive and the cabin monitoring, Around View Monitor or AVM and the Level 2 plus autonomous driving applications. We also announced and demonstrate our first solutions addressing advanced driver assistance systems, or ADAS from camera market, which was attempt already in excess of $1 billion, represents a large opportunity for Ambarella. 
 We also introduced our CV22AQ automotive camera assistant on chip, featuring the Ambarella's CVflow computer vision architecture for powerful Deep Neural Network processing. Target applications include front ADAS cameras, electronic mirrors with blind spot detection or BSD, interior driver and the cabin monitor cameras and Around View Monitors or AVM with parking assist. 
 The new SoC provides the performance necessary to exceed New Car Assessment Program or NCAP, requirements for applications such as lane keeping or Automatic Emergency Brake or AEB, intelligent headlight control and the speed assistant functions. We also announced that HELLA Aglaia, a leading global developer of intelligent video perception software was partnering with us to deliver a platform for next generation of ADAS space on the CV22AQ. The platform enables forward facing, single-box ADAS cameras with advanced AI features and highly accurate image content recognition, which are requirements for safety-critical applications.
 HELLA Aglaia chose the CV22AQ processor due to its ability to deliver extremely high computer vision processing performance with the low-power consumption required for single-box ADAS camera device. The platform was demonstrated during the CES show, featuring multiple neural networks running simultaneously on a single CV22AQ and performing object classification and a free space detection. Ambarella is now working closely with HELLA Aglaia to market the joint solution to leading OEM customers. 
 Also at CES, we announced a partnership with Smart Eye, a world leader in developing artificial intelligence-powered eye, mouth and head tracking technology to deliver a Driver Monitor System or DMS platform that tracks driver actions and intentions. With Ambarella CV22AQ, Smart Eye is able to provide high-resolution, high-precision tracking at 60 frames per second paired with the concurrent execution of AI-based interior-sensing algorithms. At the show, we demonstrated that Smart Eye AI software running on our CV22AQ to automotive OEMs and Tier 1s, highlighting the increase of safety made possible in future driver and the High Beam monitor Assistance. 
 Our automotive demonstration also included long-range stereo camera based on our CV2 SoC, enabling both high-resolution and low-range object classification at 150 meters in lowlight conditions. We also showed short-range stereo cameras performing object detection while operating in complete darkness using active IR illumination. We demonstrated our Electronic Mirror Solution replacing a vehicle's rear, right and the left mirrors with the 3 cameras and an electronic mirror display. And leveraging the CV22's computer vision capability to perform advanced blind spot detection. We introduced, as demonstrated, our latest SoC in the CVflow family, the CV25. CV25 focus on reducing our customers' overall assistant cost for delivery of a significant computer vision performance, high-quality image processing and the advanced cybersecurity features at very low power. Cameras based on CV25 will be capable of performing artificial intelligence at the edge, allowing features like facial recognition to happen in real time on the device rather than in the cloud. For example, in smart video doorbells, CV25 can automatically recognize familiar faces approaching the front door, flag unknown persons, recognize car license plates and alert homeowner when a package is delivered. 
 We're encouraged by the number of third-party software developers quoting to our CVflow platform and it demonstrated a wide range of all the applications during CES. This included FF Group's, car and the license plate recognition, clarifies retail analytics, pilot AI's familiar face recognition and the vehicle classification and Xnor's person and vehicle detection applications. 
 In summary, we've had a highly successful CES, and I will now talk a little about customer product introductions during the last quarter. 
 In the OEM automotive market, we continue to see solid growth in car record applications, primarily in Asia. In December, Chinese carmaker Geely introduced its Essai Ray car models with full HD car recorder supplied by Tier 1 supplier Longhorn, and they're based on Ambarella's A12 camera SoC. Also during the quarter, China's BAIC introduced new Senova car models with car recorders supplied by Tier 1 supplier [indiscernible], and again, based on Ambarella's A12A SoC. 
 In the automotive aftermarket, Korean dash cam market leader Thinkware introduces QXD3000 camera featuring our H22 SoC and including HDR processing length detection warning and forward collision warnings features. European dash cam provider Nextbase also introduced its series 2 of dash cameras based on Ambarella's A12 SoCs, supporting features including Amazon's Alexa intelligence voice control and emergency SOS response. 
 In professional security camera market, we are continuing to win new designs for our CV4 SoC based on their combination of AI processing performance, lowlight processing and the cybersecurity features. In January, we shipped the first mass production quantities of our CV22 to a leading camera supplier, and we have seen an extremely positive reaction from customers to our new CV25 family. We are also continuing to benefit from new opportunities as the customer is looking for alternative solution to HiSilicon, part of Huawei. 
 In the home monitoring camera market, a number of customers make new product introductions based on Ambarella solution at the CES. Many of this were in the doorbell category where Ambarella's strength in the low-power operation and the high-dynamic range processing are key enablers for small form factor cameras overmounted in challenging lighting conditions. 
 Alarm.com introduced Wellcam, a smartphone video solution designed to enable safer, independent living. Based on Ambarella's S2E, Wellcam is a smart security camera designed to make easier to stay connected to family members. 
 Kasa Smart Home announced a full range of connected home products including a smart video doorbell based on Ambarella's S5L SoC, and the small wire-free outdoor security camera based on our S2L SoC. The doorbell includes face detection based on AI algorithms. 
 First Alert, a leading maker of smart smoke detectors and other connected device, introduced its Onelink bell, a smart doorbell system based on Ambarella's S2L with full HD resolution, 2-way audio and support for Amazon Alexa and the Google Assistant. 
 French market leader, Netatmo announced its smart video doorbell based on Ambarella's full HD S3L SoC and supporting Apples' Homecare ecosystem. The camera can be viewed through the whole app, controlled via Siri and integrated with other smart devices. 
 And the Maximus, a home security company providing easy-to-install smart home security solutions, announced its Answer DualCam Video Doorbell, the first smart doorbell to include dual cameras to eliminate the top or bottom blind spots. Based on Ambarella's S5L SoC, the doorbell is compatible with Google Assistant and Amazon Alexa, both of them -- Netatmo and the Maximus video doorbell models won tech have best of CES awards. 
 During the quarter, in the consumer camera market, drone market leader, DJI introduced its Osmo Pocket, a small form factor, handheld, 3-axis, stabilized camera, which is proving popular with video loggers, especially in China. Based on Ambarella's H22 camera SoC, the camera is capable of 4K video at 60 frames per second and 12 megapixel photos with the recording time of over 2 hours. The Osmo Pockets' active track and the face track modes let you select a subject and keeps centered in the frame during recording. 
 In summary, strategically, fiscal year '19 was one of the most important years in Ambarella's 15-year history. The company's multi-year CV investment approximately $250 million is now in the very early innings of delivering results. With our focus honed on automotive, surveillance and the robotic markets, we are well positioned to address a fast-growing, multibillion-dollar opportunity. Based on the size of opportunity and the broad customer adoption of our CV products, we remain confident that we made the right decision to focus on CV, and we will continue to direct a majority of our investments into this technology. 
 And I want to thank you -- thank our stakeholders, our 750 employees and our customers, vendors and shareholders for their confidence and commitment in the last year. 
 Now I will turn it over to Casey for the financial details and guidance of our first quarter for fiscal 2020. 
Kevin Eichler: Thank you, Fermi, and good afternoon, everyone. Today, I'll review the financial highlights for the fourth quarter and full year of fiscal 2019, ending January 31, and provide a financial outlook for the first quarter of fiscal 2020. 
 During the call, I'll discuss non-GAAP results and ask that you refer to today's press release for a detailed reconciliation of GAAP to non-GAAP results. 
 For non-GAAP reporting, we have eliminated stock-based compensation expense and the reversal of a valuation allowance on certain deferred assets adjusted for the impact of taxes. The fiscal 2019 revenue declined 23% to $227.8 million with more than 100% of the decline attributed to the legacy consumer electronics business, while the automotive and security businesses increased in the single digit on a year-over-year basis. 
 For fiscal year 2019, non-GAAP gross margin was 61.2% and non-GAAP operating expenses increased 10%, primarily due to the continuation of our strong R&D investment into computer vision technology and platforms. Despite this high level of R&D investment, our operating cash flow was a positive $24.5 million for the year. 
 With no debt, cash and marketable securities totaled $359 million or $10.97 per diluted share. We repurchased 99.9 million of stock in fiscal 2019, resulting in our fully diluted non-GAAP share count declining 5.4% compared to Q4 of 2018. In line with our previous guidance, our Q4 revenue totaled $51.1 million, which represents a decrease of 11% from Q3 and a decrease of 28% when compared to the same quarter of the prior year. 
 In Q4, we saw solid growth, both sequentially and on a year-over-year basis in professional security cameras, our largest project segment, with all other major product categories declining. Auto revenue declined as we experienced the anticipated impact of a decline in a major customer's promotional activity and as the overall tone of the auto market remained cautious. Consumer and other product revenue declined slightly sequentially, exiting the year in the mid-teens as a percentage of total revenue. 
 Non-GAAP gross margin for Q4 was 60.6% compared to 60.9% in the preceding quarter. Relative to our expectation, gross margins reflected a better mix than anticipated. 
 Non-GAAP operating expense for the fourth quarter was $29.5 million compared to $28.7 million for the previous quarter. OpEx increased with a higher level of R&D investment in our computer vision product technology and platforms offset by a reduction in SG&A. Other income of $3.3 million was higher than anticipated as we received a $1.8 million Italian R&D grant. Non-GAAP net income for Q4 was $4.5 million or $0.14 per share compared with non-GAAP net income of $7 million or $0.21 per share in Q3. 
 The non-GAAP effective tax rate in Q4 was approximately 5.8%. 
 In the fourth quarter, the non-GAAP earnings per share were based on 32.8 million shares as compared to 32.9 million shares in the prior quarter. Total headcount at the end of the fourth quarter was 750 compared to 747 at the end of the previous quarter, with about 80% of our employees dedicated to engineering. Approximately 70% of our total headcount is located in Asia. 
 In Q4, we generated positive operating cash flow of $14 million with cash and marketable securities of $359 million, up from $349 million at the end of Q3. 
 During the quarter, the company repurchased approximately 104,000 shares at an average price of $33.44 for a total consideration of approximately $3.5 million. As of January 31, 2019, approximately $31.9 million remained available for repurchase under the $100 million repurchase program authorized through June 4, 2019. 
 Total accounts receivable at the end of the fourth quarter were $26.2 million or 46 days sales outstanding. This compares to accounts receivable of $32.4 million or 51 days sales outstanding at the end of the prior quarter. Net inventory at the end of fourth quarter was $18.3 million compared to $23.3 million at the end of the previous quarter. 
 Days of inventory declined to 90 days in Q4 from 109 days in Q3. We had 2, 10% plus revenue customers in Q4. WT Microelectronics, a fulfillment partner in Taiwan, came in at 62% of revenue; and Chicony, a Taiwanese ODM, who manufactures for multiple customers, came in at 13%. 
 Now I will discuss the outlook for the first quarter of fiscal 2020. We expect total revenue for the first quarter ending April 30, 2019, to be $47 million, plus or minus 3%. Global trade tensions are causing our customers order patterns to be more volatile. We anticipate security revenue to decline sequentially with consumer security up and professional security expected to be down. The combination of order volatility, a slowing economy and the normal weak seasonal order patterns from our largest customers in China is driving the decline in professional security. We expect to benefit from a favorable customer mix and some inventory build in the consumer security market. 
 Automotive revenue driven by OEM and Tier 1 customers, appears to have bottomed out and is expected to grow sequentially. Consumer electronics' revenue should continue to decline over the next 2 to 3 years. 
 With the gradual ramp in CV revenue from the professional security camera market and expected return to growth in our automotive business and less impact from the declining consumer electronics business, we anticipate quarterly revenue to be stable in the first half and return to growth in the second half of fiscal 2020. 
 Global tariff issues, the potential for export restrictions and changes in the macroeconomic conditions, including deleveraging in China, are issues that make forecasting challenging and are matters that we will continue to monitor closely during the quarter. 
 We estimate Q1 non-GAAP gross margins to be between 59% and 60% compared to 60.6% in Q4. We expect non-GAAP OpEx in the first quarter to be between $30.5 million and $32.5 million with the increase from Q4 primarily coming from increased engineering headcount, payroll tax accruals and other engineering expense. 
 The Q1 tax rate should be modeled at 30%. The increase in the tax rate is a result of our inability to use tax losses in certain jurisdictions. We estimate our diluted share count for Q1 to be approximately 33.1 million shares. 
 Ambarella will be presenting at the ROTH Conference on March 18, the Bank of America Auto Summit on April 17, and exhibiting at the International Security Conference and Exhibition on April 10 to April 12. Please contact Louis for more information on these events. 
 Thank you for joining our call today. And with that, I'd like to turn it back over to the operator for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Joe Moore with Morgan Stanley. 
Joseph Moore: I wonder -- so you said stable in the first half. I assume that means Q2 kind of sequentially flat. And then if you could characterize -- you said the trade-related tensions. What bucket would you put that in? Is that sort of inventory build around trade issues that's affecting you? Is it design activity? Is it demand? Just what's the direct impact of the trade tensions? 
Kevin Eichler: Yes, I guess, I'd generally say yes. I think all of those are -- and I'll let Fermi comment in a minute, but I think all those are factors that we're seeing in the world. We're in China, discussing the second half and just the overall year with our customers. It's hard to put any emphasis on one over the other, and obviously, we were hoping we'd be talking in this call about some resolution, but it seems to continue on. And so the volatility that we're, I think, anticipating we might see, it's hard to put it on any one factor in particular. 
Fermi Wang: Well, Joe, this is Fermi. I think there are 2 things particularly important for us. One is, we identified some strange ordering pattern from customers we've never seen before. We truly believe that the trade war issues caused those ordering pattern. At the same time, as you recall, the second important thing that have noticed is that last year, I think that on November 19, our government, the U.S. government, Bureau of Industry and Security published a recommendation to put some kind of IP control protocol. I think that a lot of our Chinese customer gasped on that and they start worrying that it's going to impact our shipment to them if this recommendation is being adopted by the U.S. government. So I think these 2 things definitely is -- generally sound quite uncertainty to us. One is on the revenue. The other one is on the design win moving forward. However, even with that uncertainty, we continue to see that our Chinese customers are moving forward with our CV design wins and the building, engineering activity with us. So we are cautiously to point out that could eventually impact us if it becomes reality, but I haven't seen that. The second one impacted us directly, yes. 
Joseph Moore: Great, okay. And then just on automotive bottoming out, can you characterize which segments are growing? Is it OEM versus aftermarket? And are you seeing tangible progress on the rearview mirror side yet? 
Fermi Wang: Yes, so first of all, when we say auto revenue, I think we definitely refer that to the OEM side. Even for aftermarket, we still see -- also see flat -- a little bit of growth, but OEM definitely continue to have a significant growth for us. But from revenue side, majority of our OEM revenue -- auto OEM revenue come from recorders today. But at the same time, for engineering activity, I think that we continue to see a lot of activity. Just give you one example that we announced that in December, we are partnering with HELLA Aglaia on the ADAS design. Following that, there were multiple things happened after the announcement. First of all, we mutually demoed the various system at the CES in our booth and got some really good feedback. And in parallel, demoing the same system to their customer, multiple OEMs at the same time. In fact, the demo they're giving to OEM is not a demo anymore. It's installing on the car and do a live demo. The third thing happening is HELLA Aglaia has a Capital Market Day just on February 14, just a few days ago. In that event, they generated the following quote, it is I quote, "Our mutual demo at CES was referenced as a successful demo of new AI-based L2, L3 perception functions on ultra-low-power SoC." So basically, what -- I think they are -- there are 2 things. First of all, this is the first time our customer come out to confirm what we have been saying that we have a very powerful CV processing performance chip while at a very low power consumption, and this is the first time a customer confirmed that. Second, the comment they had made is after they see our demo compared to the same software running on different competitive solutions and come to that conclusion. So I really think that's a very important milestone for us. And also, at the same time right now, I think, HELLA -- there is a currency marketing the solution to a leading Tier 1 OEM together at this point. So I think this is one example we made in progress even after we announced in December with HELLA Aglaia. We've continued to make progress with them on the [ mainstream front ]. 
Operator: Our next question comes from the line of Adam Gonzalez with Bank of America. 
Adam Gonzalez: First, just looking at your base automotive and security camera business, which, I think you said, grew mid-single digits year-over-year the most recently completed year, what's the right way to think about just that base business, the growth -- sustainable growth rate in the mid-term? Is that mid-single-digit rate the right trajectory? Or is that too low, could be higher or lower? Any puts-and-takes. 
Kevin Eichler: Yes, I think that's -- again, we don't guide beyond the current quarter, but I think we said that we're going to continue to have growth in the automotive business over the course of the year. The CV product line that we're focused on, obviously, won't contribute to that growth until we get out beyond this year. But we've had a lot of projects underway with our video-based products that, I think, continue to get adopted and provide growth for the year. And so that -- the way you're thinking about it's probably a good way to think about it. 
Adam Gonzalez: Got it. And then more of a high-level question on the strategy with CV in autos. Could you outline just the different camera areas within the car, whether it's driver monitoring, ADAS or camera surround view, e-mirrors? What the relative opportunity is in each and the timing for revenues? 
Fermi Wang: Okay. So in my script, we talked about 6 potential opportunity for automotive OEMs. The first one is recorders, which are already generating revenue. We continue to see more opportunity in Asia, and we believe this is a growing -- revenue-growing market for us in the interim. And the second one that we mentioned is electronic mirrors. And we already have video-only solution in production with one Chinese customer, and we are working with other projects. But at the same time, last quarter, we announced that electronic mirror with blind spot detection enabled by our CVflow functions. And I think that is probably -- we believe this become mainstream in the future. So video-only product is going to be, I would say, intermediate product but in a slowdown. Any e-mirror will have blind spot detection that's what we believe right now. So that -- I think that is going to fall into the regular automotive design cycle so that we're going to see short-term video-only revenue from the e-mirror but not a lot. But in the long term, I think that our CVflow solution will enable us to become major player in the electronic mirror for OEM business. We think this is definitely an area we'll have a focus on. The interior driver monitoring, the DMS basically for interior driver and cabin monitoring, this is an interesting combination because we see 2 different approach on this market. One is the video camera do nothing but do driver monitor, which is a reasonable market, and there are a lot of people asking for the solution today. And definitely, we'll try to play in there but -- however, we think the long term for the market we really want to play into is the driver monitor system combined with ADAS because all the ADAS function need to [ warn the ] associate with DMS right now because when you go to a Tesla type of solution, one of the biggest challenge that everybody is talking about is whether the driver really pay attention while he's in car. So I think that our focus will be enabling driver monitor system with ADAS solution, which is a requirement of -- in car today. So that's definitely something. In fact, for example, we know that HELLA Aglaia want to use this kind of solution moving forward. And that's also part of our ADAS program. But even for the DMS solution by itself, last quarter, we announced that one Chinese customer already using our H22 to enable DMS system because of its relatively easy and lower performance requirement. So that is a short-term market. It's more competitive, but definitely, that's something we'll continue to work on and delivering solution for. AVM is a market that, right now, really converging. For the first AVM market, especially for video-only, I think that market is ongoing but I think the whole market converting to a CV-enabled parking assistant solution. So when we say AVM, we're definitely referring to the current video solution as well as the CV-based AVM business. And that market, we are playing there but we don't have -- haven't announced any design win with AVM yet. The last category is Level 2-plus. Basically -- that's basically HELLA Aglaia. That's basically the short-range stereo camera we mentioned in the past. And definitely, this is one area we continue to focus on. Our plan is to continue to work with HELLA Aglaia to enable multiple OEMs through them and, hopefully, that we can also identify other potential opportunities and working with the current partners that we can deliver more news along this direction. So I would say that we are spending -- we have spent a lot of time on the previous category, but we also identify the Level 2 and Level 2-plus, ADAS plus autonomous driving applications, are the focus for us right now. 
Operator: Our next question comes from the line of Matt Ramsay with Cowen. 
Matthew Ramsay: Fermi, a couple of additional questions on sort of the Level 2-plus opportunity in your automotive business. I guess, first of all, if you could give us a little bit of an understanding as to how -- why you believe that the HELLA folks are demonstrating your, I guess, integrated solution to their customer base and what that breadth looks like? And second, if there's any progress report on your connection and potential landing of other Tier 1s across the automotive industry. I know HELLA has a pretty wide berth but there's also, obviously, other guys that you could be working with. 
Fermi Wang: Right. So first of all, we have a regular meeting with HELLA in terms of engineer review as well as a business review. So we know that he can't provide us updates on the OEM they are engaging with, and sometimes, we probably need to help them to deliver something special. So we do know who they are talking to and the progress. And more importantly, we continue to provide engineer support at their request. So although we cannot say or cannot talk about the OEMs that we are talking to, but I feel confident that we are moving forward positively with HELLA Aglaia because they -- now they can demo [ also ] in a car. In terms of other Tier 1 and other potential OEMs in this space, that's definitely -- this development effort we continue to move forward. Although we didn't mention any new ones but you should assume that we continue to talk to multiple potential customers, and hopefully then, we can give you update later. 
Matthew Ramsay: Got it, fair enough. And then obviously, the big focus on China and some of the unusual ordering patterns, but I wanted to sort of focus on the 2 top enterprise security customers over there in Hikvision and Dahua. How are you seeing those folks in their adoption of CV into their mix? And as we progress through the year, any sense of computer vision versus human vision revenue splits with those 2 customers just to understand how that CV penetration is happening there would be helpful. 
Fermi Wang: Right. So first of all, I -- we have a lot of interaction with both customers. And like I said, we do have engineering activity kickoff for our CV project based on CVflow chips. And last year, Hikvision talked about they shipped roughly 1 million units of CV cameras. And I believe they plan to be very aggressively promoting this product line. However, I didn't know their target plan and split between video and the CV. However, based on when I talked to them last time, they made it clear that they believe the CV market has become real and they believe they're going to continue to provide different price point -- different price-performance point product into this market. So that make me believe that they are not only serious by investing a lot of money on that, they also see opportunity in China on those kind of product. In terms of split, really, I don't have the visibility on their split yet. In fact, right now -- because most of our activity [ was announced on ] engineering side and we really haven't gathered their feedback on their product planning in terms of how -- when they're going to introduce the product, how they ramp up and what's the pricing. So it's hard for us to make a guess at this point. 
Matthew Ramsay: Got it. That's fair enough. But congratulations overall on the progress on the automotive side and we'll sort of stay tuned for updates as we push through a bit of a turbulent time, but appreciate the color. 
Fermi Wang: We will. Thank you. 
Kevin Eichler: Thanks. 
Operator: Our next question comes from the line of Kevin Cassidy with Stifel. 
John Donnelly: This is John Donnelly on for Kevin. Can you talk about the advantages that the 10-nanometer process gives you for the CV products? 
Fermi Wang: Well, I think that 10 nanometer really benefit us for multiple reasons, but the most important reason is power consumption. Our assumption -- we have a very unique silica architecture, which give us our power consumption advantages. But just like in the past, we knew that if we fall behind on the process node, if this -- we fall behind for more than 2 process node, the power consumption advantage of our silica architecture will disappear. And we are assuming we're going to compete with Mobileye, Qualcomm, HiSilicon, all of them moving to 10-nanometer and probably already have plan with 7-nanometer. So I knew -- so that's why moving to 10-nanometer is a must for us for -- to keep our power consumption advantage. But when we -- because of our investment on 10-nanometer solution, when you compare our CV solution versus competitors now from the fact I which just mentioned, then it really gives a huge amount of power consumption advantages. Because now we're talking about not only just our architecture advantage but also the process node advantage that help us tremendously to win design wins in those categories. For example, in a week, we start seeing many RFQs from consumers, security camera, leading suppliers, and all of them require powerful CV performance. And sometimes, they want to build as well as powered -- or battery-based security camera, which require very low power consumption. And our 10-nanometer becomes significantly important in that category. 
John Donnelly: Okay, great. And have you seen any change in terms of the popularity or the attach rate of the dashboard cameras from maybe some different geographies or push from insurers or regulators to promote greater use of those? 
Fermi Wang: Yes. In fact, we do see that. In fact, in the past, the major driver was China, and last year, gradually China and Korea. Last year, we talked about Japan become very popular especially on OEM space. Now we are seeing multiple camera taking -- multiple customer taking this camera concept to British and gradually going to Europe, and we start generating revenue there. So it's driven by the insurance company like you said. So although it's a small number compared to other areas -- but we do think that -- we are hopeful that those market is going to drive new adopt rate for us. 
Kevin Eichler: There -- just to add to that, there are some countries that out over the next year, are going to start to require new cars have recorders in the cars. And so that's going to be the kind of regulatory basis. So that will also be constructive and helpful to that market. 
Operator: Our next question comes from the line of Suji Desilva with Roth Capital. 
Sujeeva De Silva: Casey, you talked about the growth areas, security and automotive growing at single digits. I think, Casey, you kind of -- you indicated that's what it might grow longer term but you're a little bit kind of circumspect on that. The other consumer area, you talked about declining next 2, 3 years. What kind of rate of decline could we think about there and understanding kind of how the overall revenue nets out as that headwind plays out? 
Kevin Eichler: Yes, as I talked about, as we exited the year, that business represented kind of the mid-teens as a percentage of total revenue. So a lot of that is adjusted out through the course of last year and, in particular, in the second half of last year. There is a tail to that business though, and we do continue to see revenue and I think we will, as I mentioned over the next 2 to 3 years -- well, I think it will decline over that period of time. But I think because of the level that it's at today, it's not going to have a meaningful impact like it really did last year, where it contributed more than 100% of the decline for the full year off of that legacy consumer business. And so the takeaway there is, I think, we work through the majority of that last year and it was really a headwind in the second half. It will continue to decline, but I don't think you'll see it be anywhere near the headwind that it was last year. 
Sujeeva De Silva: That's helpful color. And a bigger picture question on your CV products. You have a 22 now in commercial in CV2 and 25 coming. Can you talk about the relative size of the addressable market for CV2 and CV25? How much those add on versus the CV22 addressable market? 
Fermi Wang: So you should consider CV2 as our high-end CVflow solution, CV22 is mainstream, and CV25 is really targeting the cost-effective solution. So for market, for example, you can think that for automotive, most of company customer will use CV2 or CV22, mainly CV22; professional security will use CV22 and CV25; and consumer IP can -- will use mainly CV25. That's just a rule of thumb. And so in terms of total revenue, I think that ASP-wise, of course, CV2 is a high risk but low-risk volume while CV25 has low-risk ASP but consider volume can be much bigger; so hard for us to make a forecast right now but I will -- we see a lot of CV25 interest from our customer right now, considering the competitive cost and the performance. 
Operator: Our next question comes from the line of Charlie Anderson with Dougherty & Company. 
Charlie Anderson: Maybe I just want to start with a big one -- big picture question for Fermi. As you look at the automotive opportunities that are out there, you sort of had the 2 initial wins, HELLA, and then the other one. I wonder what are your reasonable expectations for this year, Fermi, in terms of design win activity based on some of the improvements that you made and some of the interactions you've had now with the industry? 
Fermi Wang: Well, we had a board meeting just last week. We signed up some goals, which is more than what we just have talked about, obviously. So we -- our internal goal is we need to continue to make progress not only on the engineering side but also on the business development side. We are very happy with HELLA and the other [ tiers ], but we are not -- that's not enough. We need to make a lot more progress on that direction. I am sorry that I cannot really talk about the names and the design win potential, but I know that we have a lot of activities with other customer. That's what give me confidence that we will continue to do well in this area. 
Charlie Anderson: Great. And then you guys mentioned stable revenue in the second half but then growth in the second half. I wonder if you maybe could just rank order for us some of those contributors to growth in the second half relative to the first half. 
Kevin Eichler: Yes, I mean, certainly, it's going to be the auto space and the security space that are going to be the drivers for the year and, in particular, in the second half. As I mentioned, there'll be a little bit of headwind in my mind from the consumer side, but I think most of that is behind us at this point. But when we're looking at growth drivers, in auto, it is the non-CV products this year but then we'll start to ramp in, in the future. And as we've talked about, the real CV opportunity, they start to show some growth in the second half. That's really in the security space, and as Fermi mentioned in his script, we're seeing quite a bit of good activity there. 
Fermi Wang: One thing might be worth to mention is we mentioned that we start winning design from HiSilicon design win in the past, and we do believe we're going to see those revenue -- impact to our revenue probably at the end of this year, so definitely driving some of the second half growth on the professional security camera side. 
Operator: Our next question comes from the line of Quinn Bolton with Needham & Company. 
Quinn Bolton: I wanted to ask a couple of questions just on actually guidance, the second half comment for growth. Was that kind of sequential growth off the first half base? Or is that year-on-year? And then I've got a few follow-on questions. 
Kevin Eichler: Yes. As we look out -- as we mentioned in the script as well, it's a little difficult with the kind of macro environment and some of the things going on, in particular with China, to understand exactly how that growth will model out. I think what we're seeing with our customers in a lot of the discussions that our engineers and that Fermi is personally having with our customers that we see some of the markets -- for example, I mentioned that the auto market looked like it had kind of bottomed out. As you know, there's been some pressure on that market and we see that growing. When you think about sequential versus year-on-year, year-on-year is a little difficult because we had such different makeup in our revenue last year with some of the consumer tailing off as well as just some of the other markets ramping in, and so it's hard to do a year-on-year comparison. But when we look at the growth that we see, as I mentioned before, it's definitely going to be from the automotive, non-CV and from CV and the video products in the security side of the business. And then it's again hard to gauge a little bit how much the question earlier that the consumer continues to tail off, but it's at a point in the revenue that I don't think it will be a material headwind. And in some quarters, it could be kind of relatively stable, as we indicated, in other quarters it can drop a little bit just depending on how the design wins roll out -- [ or should ] the designs roll out into the future. 
Quinn Bolton: Got it. So I know you're not giving annual guidance, but if you're kind of $47 million plus or minus 3% in Q1 and kind of stable in Q2, what's -- you even grow 10% sequentially in Q3, Q4. Kind of still looks like your total revenue for fiscal '20 would be down on the order of 10-ish percent. So I'm just trying to reconcile that kind of growth for the year versus where you're saying, you've got mid- to maybe high single-digit growth in 85% of your revenues. Is the disconnect simply that the consumer business, on a year-over-year basis, is down significantly but from the April quarter level, it's flat to down slightly on a sequential basis and that's kind of the big difference between the core business and the consumer business? 
Kevin Eichler: Yes, I think that's a fair way to think about it. As we said, I mean, we had some customers that were, in the beginning half of the year, in particular last year, that are totally out of the revenue today. And then we have other products that are still going on but at a lesser level. Some of the markets -- take the drone market, for example. There was a fair amount of in-sourcing to their own solutions. And so while in some of those lines we're doing as good or better than last year, we're participating less broadly in some of those markets, and I think that adds to the year-over-year piece as well. Auto is growing off of a fairly small number, and then the CV will contribute smaller this year in security than we'll see in the future just because it's ramping up, but I think all of those things combine to get to that guidance. 
Quinn Bolton: Got it. And then just a question on the security market. I know you're expecting, in the near term, professional will be down, but it sounds like consumer business for you is pretty strong. I've got a number of questions about Arlo, and obviously, Arlo had a pretty ugly outlook for their business and they tend to be more consumer-focused. And just wondering if you think it's a kind of a reflection of the specific products that Arlo has or why you may be doing so much better in the consumer segment of the surveillance market? 
Fermi Wang: Right. So first of all, Arlo is not our customer. So we don't know what their problem is, but we do not see -- we have many other customer in the consumer security camera. We do not see similar problems in those -- our big customers in that category. 
Quinn Bolton: Got it. And then last one from me, Fermi, just you mentioned Hikvision in 2018 made -- shipped about 1 million CV cameras. Are those using kind of very high-end application processors that really aren't kind of high-volume solutions? Or what are the... 
Fermi Wang: They use NVIDIA PX2. 
Operator: Our next question comes from the line of Richard Shannon with Craig-Hallum. 
Joseph Flynn: This is Joe Flynn on for Richard. Just hoping you could expand on the consumer -- on the security business a little bit. And we're wondering how broad the pickup would be and if you have more visibility into the 10 design wins that you mentioned. Is this something that we could see, like the majority of them late this year or early next year entering production? 
Fermi Wang: Right. So let me -- yes, definitely. Among -- our business model for professional security cameras are focused on the top 10 customers. And among those top 10 customer, we have 1 customer already start shipping in -- early this year. And also, in the remaining months, we have design and engineering activity with the majority of them except 2. For those 2 companies, we are negotiating with them to decide in terms of pricing and engagement model and -- so they can take over the project. So that 2 is undetermined yet. So that's the situation with professional security camera. So because we have a lot of engineering activity among those majority of the IP security -- professional IP security camera customers, we believe we're going to start seeing people renting up even later this year or early next year. It really depends on their product planning and their marketing plan. So like I said, we know we have a lot in engineering engagement, but we need to understand their business plan, like rental time, rental volume, or we can give you more actual guidance for the -- our revenue, which we have -- we don't have enough information yet. 
Joseph Flynn: Okay. That's helpful. And a quick question on gross margin. You mentioned the strong growth in second half. Should we expect gross margin based on mix like-- around steady 59%, 60% levels and then, I guess over time, increasing as the ASP is increased with CV entering more mainstream? 
Kevin Eichler: Yes, I think for -- right now, the guidance that we have on the lower end of our overall -- our traditional range is the right place to be. As we see the mix on CV out into the next fiscal year and beyond, whether or not that improves back up to the high end of the range, we'll just have to -- it will remain to be seen. But I think that that's a pretty good place to be right now. It's in the low end of the range, which -- the bottom of the range that we've talked about traditionally and 59%, and so the 59% to 60% is a good place to be. 
Fermi Wang: My feeling is that CV will be a gross margin helper instead of dragging down our current gross margin. 
Operator: This concludes our question-and-answer session for today. I would now like to turn the call back to Fermi Wang for any further remarks. 
Fermi Wang: Again, I would like to thank our stakeholders, especially our 750 employees for their support and commitment in the last year. Thank you, and I'll talk to you next time. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.